Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Provident Financial Holdings Second Quarter Earnings Conference Call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to our host, Mr. Craig Blunden. Please go ahead, sir.
Craig Blunden: Thank you. Good morning, everyone. This is Craig Blunden, Chairman and CEO of Provident Financial Holdings. And on the call with me is Donavon Ternes, our President, Chief Operating and Chief Financial Officer. Before we begin, I have a brief administrative item to address. Our presentation today discusses the company's business outlook and will include forward-looking statements. Those statements include descriptions of management's plans, objectives or goals for future operations, products or services, forecasts of financial or other performance measures and statements about the company's general outlook for economic and business conditions. We also may make forward-looking statements during the question-and-answer period following management's presentation. These forward-looking statements are subject to a number of risks and uncertainties, and actual results may differ materially from those discussed today. Information on the Risk Factors that could cause actual results to differ from any forward-looking statement is available from the earnings release that was distributed last Friday, from the Annual Report on Form 10-K for the year ended June 30, 2022, and from the Form 10-Qs and other SEC filings that were filed subsequent to the Form 10-K. Forward-looking statements are effective only as of the date they are made, and the company assumes no obligation to update this information. To begin with, thank you for participating in our call. I hope that each of you has had an opportunity to review our earnings release which describes our second quarter results. In the most recent quarter, we originated $74.3 million of loans held for investment, declined from $84.6 million in the prior sequential quarter. During the most recent quarter, we also experienced $28 million of loan principal payoffs and payments, which is down from the $31.7 million in the September 2022 quarter and at the lower end of the quarterly range. Currently, competition remains elevated for loan originations and it seems that many borrowers have reduced their new activity as a result of rising mortgage interest rates. Additionally, we're seeing more demand for single family adjustable rate mortgage products as a result of higher fixed rate mortgage interest rates. For the most part, our underwriting requirements have not changed, but certain loan products, such as retail and office CRE remained somewhat higher than other CRE products. Additionally, our single family and multifamily pipelines are smaller in comparison to last quarter, adjusting originations in the March 2023 quarter will decline from this quarter and may drop below the range of recent prior quarters, which has been between $65 million and $95 million. For the three months ended December 31, 2022, loans held for investment increased by approximately 5% compared to September 30, 2022 ending balances, with the increase in single family loans more than offsetting the small declines in the multifamily commercial real estate and construction loan categories. Current credit quality is holding up very well and you will note that there are just $4,000 of early stage delinquency balances as of December 31, 2022. And additionally, nonperforming assets decreased to just $956,000, which is down from $964,000 on September 30, 2022. We recorded $191,000 provision for loan losses in the December 2022 quarter. The allowance for loan losses to gross loans held for investment decreased to 56 basis points on December 31, 2022 from 57 basis points on September 30. We will note that we remain on the incurred loss model and have not adopted CECL. This means that our allowance methodology cannot be reasonably compared to CECL adopters. Our net interest margin was unchanged at 3.05% for the quarter ended December 31, 2022, compared to the September 2022 sequential quarter as the net result of a 27 basis point increase in the average yield on total interest earning assets and a 28 basis point increase in the cost of total interest bearing liabilities. Notably, our average cost of deposits increased by just 7 basis points to 20 basis points for the quarter ended December 31, 2022, compared to 13 basis points in the prior sequential quarter, but our borrowing costs increased by 99 basis points in the December 2022 quarter compared to the September 2022 quarter. The net interest margin this quarter was positively impacted by approximately 5 basis points as a result of lower net deferred cost -- loan costs associated with fewer loan payoffs in the December 2022 quarter in comparison to the average net deferred loan cost amortization of the five previous quarters. New loan production is being originated at higher mortgage interest rates than recent prior quarters and adjusted rate loans in our portfolio are now adjusting to higher interest rates in comparison to their existing interest rates. Also for multifamily and commercial real estate loans, the loans are adjusting above their existing floors. However, many adjustable rate loans in all categories are limited in their upward adjustment by their periodic interest rate caps. We continue to look for operating efficiencies throughout the company to lower operating expenses. Our FTE count on December 31, 2022 decreased 160 compared to 170 FTE on the same date last year. You will note that operating expenses decreased to $6.8 million in the December 2022 quarter, somewhat lower than what we described as a stable run rate of approximately $6.9 million per quarter. We expect a similar run rate for the remainder of fiscal 2023, but may experience some pressure on operating expenses as a result of increased wages and inflationary pressure on other operating expenses. Our short-term strategy for balance sheet management is unchanged from last quarter. We believe that leveraging the balance sheet with prudent loan portfolio growth is the best course of action. We were very successful in execution this quarter with loan origination volumes at the mid-point of the quarterly range and loan payoffs at the lower end of the quarterly range. The total interest earning assets composition improved during the quarter with an increase in average balance of loans receivable and a decrease in lower yielding average balance of investment securities. However, total interest bearing liabilities composition deteriorates a bit with a small increase in the average balance of deposits, but a larger increase in the average balance of borrowings. We exceed well capitalized capital ratios by a significant margin allowing us to execute on our business plan and capital management goals without complications. We believe that maintaining our cash dividend is very important. We also recognize that prudent capital returns to shareholders through stock buyback program is a valid capital management tool and we repurchased approximately 103,000 shares of common stock in the December 2022 quarter. For the fiscal year-to-date, we distributed approximately $2 million of cash dividends to shareholders and repurchased approximately $2.2 million worth of common stock. As a result, our capital management activities resulted in a 95% distribution of year-to-date fiscal 2023 net income. We encourage everyone to review our December 31 investor presentation posted on our website. You will find that we included slides regarding financial metrics, asset quality and capital management, which we believe will give you additional insight on our solid financial foundation supporting the future growth of the company. We will now entertain any questions you may have regarding our financial results. Thank you.
Operator: [Operator Instructions] At this time, it does appear there are no questions from the phone lines.
Craig Blunden: All right. Thank you. Well, we look forward to talking with everybody again next quarter. At our investor conference call. Thank you.
Operator: And ladies and gentlemen, today's conference will be available for replay after 11:00 a.m. Pacific today through February 6. You may access the AT&T replay system at any time by dialing 1866-207-1041 entering the access code 2446007. International participants may dial 402-970-0847. And those numbers again are 1866-207-1041 and 402-970-0847, again, entering the access code 2446007. That does conclude your conference for today. Thank you for your participation and for using AT&T Teleconference Services. You may now disconnect.
End of Q&A: